Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2011 Harris Corporation Earnings Conference Call. My name is Michelle, and I will be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host, Ms. Pamela Padgett, Vice President of Investor Relations. Please go ahead.
Pamela Padgett: Good afternoon, and welcome, everyone, to Harris Corporation's Third Quarter Fiscal 2011 Earnings Call. I'm Pam Padgett, and on the call with me today is Howard Lance, Chairman, President and CEO; and Gary McArthur, Senior Vice President and Chief Financial Officer. Before we get started, a few words about forward-looking statements. In the course of this teleconference, management may make forward-looking statements. Forward-looking statements involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. For more information on the discussion of such assumptions, risks and uncertainties, please see the press release and filings made by Harris with the SEC. In addition, in our press release and on this teleconference, we will discuss certain financial measures and information that are non-GAAP financial measures. A reconciliation to the comparable GAAP measures is included in a tables in our press release and on the Investor Relations section of our website, which is www.harris.com. A replay of this call will also be available on Investor Relations section of our website. And with that, Howard, I'm going to turn the call over to you.
Howard Lance: Thank you, Pam. I want to add my welcome to all of you for our third quarter fiscal 2011 earnings call. Harris posted solid third quarter results with higher consolidated orders in the prior year and strong operating margins in both our RF Communications and Government Communications Systems segments. Revenue was higher than the prior year quarter primarily due to the impact of acquisitions. Income was lower due to the favorable product mix in the prior year. As you'll remember, we had the large volume of expedited shipments of tactical radios to equip the Mine Resistant Ambush Protected Vehicles for Afghanistan. In addition, our Government Programs and IT Services businesses began to see some impact in the quarter from slowing U.S. Government spending, including the disruption caused by the continuing budget resolution. We've reduced our expected revenue in fiscal 2011 by a total of $100 million in Government Programs and IT services as a result, and we've reduced fiscal 2012 revenue by a comparable $100 million. But you may recall in our previous earnings call we explained that if revenue was in fact impacted by the CR, we did not expect any appreciable impact on margins as a result of our continuing emphasis on operating efficiencies and cost control, and that's exactly what's happened. I'm pleased to report that we've closed now on 3 previously announced acquisitions that have become part of our new Integrated Network Solutions segment. We believe these businesses will help drive revenue growth, margin expansion and increase earnings for Harris in fiscal 2012 and beyond. On April 4, we completed the acquisition of the Schlumberger Global Connectivity Services business. They are a leading provider of satellite and terrestrial communications services for the international energy markets. We also acquired the infrastructure assets from Core180's government business, thereby extending our U.S. terrestrial network capabilities and lowering our cost of operations. These 2 acquisitions have been combined with previously acquired CapRock Communications and the Harris Maritime Communication Services business to create Harris CapRock Communications, a $600 million-plus managed Communications Services business serving government, energy and maritime markets. This business combination positions us as the leading supplier in a high-growth industry. The added scale makes our second only to the U.S. Government as a purchaser of satellite bandwidth, which, along with our plans to rationalize redundant facilities and operations, creates a very rich opportunity for expanding operating margins across the business as we move forward. We also completed the acquisition of Carefx, a leading provider of interoperability workflow solutions for government and commercial healthcare providers. Carefx has a broad hospital customer base, providing Harris with increased channel access to the fast-growing commercial healthcare IT market. We'll benefit from increased sales of Carefx solutions, along with cross-selling additional services offered by other Harris businesses. Consolidated revenue in the third quarter was $1.41 billion, 6% higher than the prior year. Non-GAAP income, excluding acquisition-related costs, was $149 million or $1.16 per share compared with $170 million, or $1.29 per share, in the prior year. Non-GAAP income before interest, taxes, depreciation and amortization was $294 million in the quarter compared to $310 million in the prior year quarter. This represents a year-over-year decline of about 5% in EBITDA as compared to an EPS decline of 10%. Consolidated orders of $1.55 billion exceeded revenue and was 7% higher compared with $1.45 billion in the prior year. This resulted in a consolidated company book-to-bill of $1.1 billion for the third quarter. Turning to RF Communications. Third quarter revenue for the RF Communications segment was $550 million, about flat with the prior year. Prior year expedited shipments of tactical radios to equip MRAP vehicles created a distorted year-over-year comparison. Remember that Harris shipped $1 billion in MRAP program radios over the 5 quarters that ended in 1Q of fiscal 2011. While this is certainly a great testament to our leading radio technology and our commercial business model, this success produced some very tough quarters to beat in an already very successful business. Operating income for the RF Communications segment was $179 million compared with non-GAAP operating income of $208 million in the prior year. Again, the prior year benefited from the MRAP shipments previously noted. Operating margin in the quarter was very strong at 32.5%. And that's about 50 basis points higher than we had previously expected. And we believe these higher margins are sustainable going forward in fiscal 2012. Our new manufacturing facility is scheduled to be operational in July, further helping us to maintain our low-cost position and supporting healthy margins for the long run. Tactical Communications revenue was $431 million in the quarter, about flat with the prior year. And we believe this was an excellent result given the difficult comparison. Deliveries to the MRAP program declined by $206 million year-over-year. Non-MRAP shipments to DoD customers increased significantly due to the adoption of our new Falcon III 117G wideband networking radio. And International revenue increased significantly comprising 1/2 of Tactical Communications' revenue during the third quarter. Public Safety and Professional Communications revenue was $119 million in the third quarter, also flat with the prior year and continuing to reflect the constrained state and local government spending environment. However, we expect recent program wins to begin to drive sequential revenue improvement beginning in the fiscal fourth quarter. RF Communications segment orders were $722 million in the quarter with a book-to-bill of $1.3 million, and segment backlog increased to $1.70 billion. Orders for Tactical Communications as part of that total were $351 million with a corresponding book-to-bill of 0.8. Backlog continues to be healthy, with Tactical Communications backlog standing at $981 million at the end of the third quarter. U.S. DoD orders were slightly higher than revenue in the quarter, with international orders as expected slightly below revenue. Ongoing instability in the Middle East is likely to push about $100 million in orders previously planned for the back half of fiscal 2011 into fiscal 2012. It's important to note this is simply a timing issue. We haven't lost any orders. But given its likelihood at the present time, backlog at the end of our fiscal year is now expected to be in the range of $800 million to $900 million for Tactical Communications. This is still very healthy and continues to support our fiscal 2012 guidance. Key orders in the U.S. market during the quarter included $70 million to deliver encryption devices and support services for the Blue Force Tracking system used by the U.S. Army and U.S. Marine Corps. Total orders for these encryption devices and support now exceed $100 million. Also, $40 million from the Army for Falcon II HF vehicular systems; $23 million from the Air Force for Falcon III multiband handheld radios; and $9 million from the Army for HF radios for use in the Joint Biological Point Detection System. And this is an important new application for our communication systems. The U.S. Department of Defense continues to accelerate its adoption of Harris Falcon III wideband networking radios, embracing our commercial enterprise business model. We continue to believe that legacy communications, which rely on large, heavy, single-band, single-mission radios used primarily for voice, are far beyond their useful life. The modern battlefield, where war fighters have to simultaneously deal with multiple threats, require high-bandwidth network communications capability driven down to individual soldiers. Their increasingly complex missions require video, e-mail, collaborative chat and multiple waveform application availability. The upgrade from narrowband to wideband radios will occur on a large scale, and Harris will continue to lead this transformation. Ultimately, the DoD installed base of legacy radios represents a $10 billion market opportunity for Harris. Turning to International. Orders in the quarter came from diverse regions around the world and included multiple types of products and systems. They included $29 million from a country in Asia to provide the next phase of their integrated C4ISR project and a $22 million order from the same country for Falcon III Secure Personal Radios; $19 million from a country in Southeast Asia for Falcon III and Falcon II tactical radios; $11 million from the Australia Department of Defence for Falcon III tactical radios as part of their networked battlefield communication system; $10 million from an international customer to provide a secure tactical network communication system, and this one is comprised of Falcon III, Falcon II, as well as our public safety land mobile radios; a $10 million order from the Afghanistan National Army for Falcon III multiband, handheld tactical radios; and a $5 billion order from a nation in East Africa for Falcon II and Falcon III tactical radios. Our fiscal 2012 outlook for Tactical Communications remains solid. We closed the third quarter with healthy opportunity pipelines: $1 billion in the U.S. market and $2.6 billion in international markets. While some of the increase from the previous International pipeline of $2 billion reflects the timing issues I referred to, most of the increase is due to additional new identified opportunities. Our expanded regional hubs are playing a key role. In the U.K., we're serving Europe and Western Asia. In the United Arab Emirates, we're serving the Middle East, Central Asia and Africa; our new hub in Australia will be serving throughout Asia-Pacific; and our hub in Miami, Florida providing service to Latin America. Now all of these hubs are increasingly effective in securing new business for Harris. Each locations hosts sales and business development staff, a customer briefing center to show customers the capabilities of our products, along with system engineering and technical support resources. We're also continuing to expand our addressable markets by investing in new international products and by extending our reach into large, integrated communication systems projects. Orders in Public Safety and Professional Communications in the third quarter were $371 million compared to $168 million in the prior year and included, most notably, a $291 million order to design and deploy the First Responder Radio Communications System throughout Alberta, Canada. This is a province-wide public safety communications network. And also, orders included $15 million from Dane County, Wisconsin to upgrade their public safety communications system with our digital P25 IP solution. For the past several quarters, we've seen some opportunities in this market push out due to constrained state and local budgets. But on the positive side, we're finally beginning to see a pickup in new bid and proposal activity, and we view this as a very encouraging sign. Overall, our pipeline of public safety and professional communications opportunities remains large at $3 billion. Revenue in the Government Communications Systems segment in the quarter was $431 million, up 1% from the prior year. Revenue growth on a pro forma basis was about 7% higher in the quarter, and this is when you exclude the Field Data Collection Automation program for the U.S. Census Bureau, which declined by $24 million year-over-year as expected. Of course, the winding down of the 2010 Census program represents a total of $80 million in year-over-year revenue decline for fiscal 2011 in total. Revenue increased in the quarter on the GOES-R program for the National Oceanic and Atmospheric Administration, as well as on the F-35 Lightning II fighter aircraft program for the DoD. Slowing U.S. Government spending continued to impact revenue on several of our classified programs. I'll remind you that a portion of our Classified business consists of short-cycle programs. And these were hit particularly hard in the case of a continuing resolution where funding for new programs is not always available. Segment operating income in the third quarter was $60 million, and operating margin was very strong at 13.9%. During the third quarter, we achieved several significant program wins in the business. And these included a $15 million delivery order from the Air Force for telemetry modules for the Advanced Medium-Range Air-to-Air Missile program; also, a new 3-year contract to build Ka-band antennas for 3 Inmarsat-5 satellites, which will be the backbone of a worldwide wireless broadband network; and another order for a 3-year contract to build a 22-meter deployable L-band reflectors to support military and civilian communications in Mexico. Together, these programs have a combined value of more than $100 million and illustrate the current strength in the global satellite market; and finally, after the close of the quarter, Harris received an $11 million contract from the National Geospatial-Intelligence Agency. We also introduced an important new capability this quarter we call the KnightHawk 3G. This is our ruggedized mobile tactical base station that, when it's combined with our Falcon III 117G wideband networking radio, enables war fighters on the move to maintain cellular services in locations with limited or no connectivity. The KnightHawk 3G allows war fighters to train, fight, communicate more effectively and report to commanders in real time regardless of their location. Moving to the new Integrated Network Solutions segment. Revenue in the third quarter grew 23% to $463 million. Organic revenue was about flat compared with the prior year. Broadcast Communications showed strong revenue growth of 9%, while revenue declined in Harris' IT Services business as a result of the slowing U.S. Government spending, including the disruption caused by the continuing resolution. Segment non-GAAP operating income was $32 million, 6.8% of sales. Operating income benefited both from acquisitions as well as much-improved performance in Broadcast Communications. Broadcast Communication business was profitable in the quarter and is still on target to be at breakeven for the fiscal year. That's a significant year-over-year improvement. These profit improvements were partially offset, however, by an operating loss in the Cyber Integrated Solutions business. We talked about this last quarter as we continued to invest in this large and fast-growing market. Also, we talked about last quarter lower pricing and the contract extension for the Navy Marine Corps intranet program, and that's impacting year-over-year Harris IT Services margins. Major Integrated Network Solutions orders or program wins in the quarter included 14 task orders totaling $150 million to provide C-, Ku- and X-band space segment capacity, monitoring and control, teleport services and operations and maintenance to DoD agency customers located around the world. Also, a $15 million contract extension from the U.S. Department of Veterans Affairs for systems engineering services for their VistA imaging application. A $4 million contract to provide local operations and support to the U.S. Army Dental Command at Fort Sam Houston, Texas, Fort Campbell, Kentucky, Fort Bragg, North Carolina and internationally at bases in Korea and Germany. We received a $9 million order from a country in Central Asia for our broadcast solutions, including master control rooms, production studios, playout and news centers. Also in Broadcast, the contract for the installation of an advanced digital out-of-home and IPTV network for the new Madison Square Garden transformation project. More than 1,100 arena displays will deliver a dynamic viewing experience to fans at MSG going forward. This project will commence this summer and be completed for the 2013, 2014 season. Continuing orders from traditional U.S. broadcast stations also were received in the quarter, including from Gray Communications, Cox Broadcasting and CBS. And we received a $10 million order from Virtual Computing Environment Corporation (sic) [Company], or VCE, for trusted enterprise cloud solutions. This is an important milestone for our Cyber Integrated Solutions business. Harris also recently announced a strategic alliance with VCE and their majority owner, EMC, that's expected to accelerate the growth of cloud Infrastructure-as-a-Service. As part of this strategic alliance, development teams from Harris, RSA and VCE are integrating patented Harris technologies within the VCE Vblock infrastructure platform. We expect together to deliver unparalleled levels of visibility, control, security, performance and availability in the cloud environment. EMC and VCE are also actively engaged in joint marketing with Harris to create Trusted Enterprise Cloud services demand. Turning to the Healthcare Solutions business. We announced the formation of a joint venture with Johns Hopkins Medicine to develop next-generation, medical imaging management solutions. This collaboration brings together Harris' industry-leading health information capabilities and security technologies with Johns Hopkins renowned clinical expertise. The new image management solutions will be deployed first by the entire Johns Hopkins health system. And later, we'll market this to other hospitals and healthcare providers around the country. At our broadcast team, we introduced the new Selenio media convergence platform to the U.S. market at the annual National Association of Broadcasters trade show. With Selenio, Harris introduced the industry's first integrated media convergence platform. Traditional broadcast and IP signal distribution together can require the use of up to 45 different components, 25 rack units of physical space, consume 2,500 watts of power and require 131 connector cables. Now let's compare that to Selenio. Distribution requires one single component, 3 rack units of vertical space, consumes only 600 watts of power and requires only 14 cables. So this is an amazing improvement, and we think will lead to rapid adoption of the new Selenio technology globally across broadcast customers. We continue to believe the Integrated Network Support segment is well positioned to deliver future revenue growth and margin expansion. As we discussed during our Analyst Day in March, we expect this segment to grow faster than other segments and achieve margins of 11% to 12% by fiscal 2014. Let me now ask Harris CFO, Gary McArthur, to comment on our financial results during the quarter.
Gary McArthur: Thank you, Howard. Our balance sheet continues to be strong. We ended the quarter with $885 million of cash and cash equivalents on hand, of which $552 million was used to fund the acquisitions of Schlumberger GCS and Carefx, both of which closed on April 4, the first day of our fourth quarter. $870 million of the $1.05 billion under our 2 revolving credit facilities is available, and no long-term debt maturities come due until October of 2015. Return on invested capital remained strong at 21%, while return on equity was at 27%. During the quarter, we used $50 million to repurchase 1.02 million shares of our outstanding stock at an average price of $49.02 per share, and we currently have $300 million authorization remaining under our share repurchase program. Cash flow from operations in the third quarter was weaker than expected primarily due to timing of U.S. Government funding and payments, decreasing $146 million to $168 million versus $314 million in the third quarter of the prior year. In light of this, we are decreasing our expectation for cash flow from operations for fiscal year 2011 to a range of $775 million to $825 million, back to where we were with guidance as of the end of the first quarter and lower as compared to our most recent guidance of $800 million to $850 million. Depreciation and amortization for the third quarter was $52 million as compared to $40 million for the third quarter of 2010, while capital expenditures were $88 million for the third quarter as compared to $94 million in the third quarter of the prior year. Including the acquisitions of Schlumberger GCS and Carefx, our guidance for depreciation and amortization and capital expenditures are both increasing by $5 million to ranges of $210 million to $220 million and $325 million to $345 million, respectively. Our non-GAAP effective tax rate for the third quarter was 31.7%, and our outlook for the full year tax rate for fiscal 2011 now is 33%. Our initial outlook for 2012 full year tax rate is 33.5%, however, the tax rate for any given quarter could vary up or down as a result of discrete tax events. Other areas of guidance for fiscal 2012 are as follows: cash flow from operations, $850 million to $900 million dollars; depreciation and amortization $280 million to $290 million; capital expenditures, including capitalized software of $275 million to $300 million. Our current priorities for cash that is expected to be generated remain the same: funding internal investments to drive growth and generate higher earnings, pay appropriate dividends, acquire companies that meet our strategic objectives and enhance financial returns and repurchase shares. In summary, we expect to finish fiscal 2011 on a very strong financial foundation with expectations for another very solid year in fiscal 2012. Let me now turn it back to you, Howard.
Howard Lance: Thanks, Gary. Let me close with discussion about fiscal 2011 and fiscal 2012 guidance. We've updated our financial guidance for fiscal 2011 as follows. Consolidated revenue is now expected to be approximately $5.9 billion, and that's about 13% above fiscal 2010. That compares to our previously expected revenue target of about $6 billion. Non-GAAP income, excluding acquisition-related costs, is unchanged from our previous guidance, still expected to be in the range of $4.80 to $4.90 per diluted share, a year-over-year increase of 8% to 11%. Non-GAAP earnings before interest, taxes, depreciation and amortization, again excluding acquisition-related costs and expenses, are now expected to be in a range from $1.22 billion to $1.24 billion, representing an EBITDA increase of 11% to 13% above fiscal 2010. For the RF Communications segment, fiscal 2011 guidance is unchanged. I'll just remind you that revenue is expected to be 9% to 10% higher than the prior year, and operating margin for the full year expected to be between 34% and 35%. For Government Communications Systems, we now expect revenue for 2011 to be flat to 2% higher in fiscal 2010. Previous range was 3% to 5% higher. Segment operating margin is it still expected to be between 12.5% and 13%. And for the Integrated Network Solutions segment, we now expect revenue in a range of 33% to 35% higher than fiscal 2010, and that compares to our previous range of 36% to 38%. And again, it's due to the government budget impact at Harris IT Services. Organic growth is now expected to be in a range of 4% to 6% over the prior year. Non-GAAP segment operating margin is now expected to be a bit higher at 5% to 7%. Previous margin guidance was in a range of 5% to 6%. So that's a recap of 2011. Let me now move on to fiscal 2012. You'll recall we initiated guidance for 2012 in March. And today, I'll update that guidance, provide more color around our 3 operating segments. Consolidated revenue for fiscal 2012 is expected to be between 7% and 10% higher than fiscal 2011, with revenue between $6.3 billion and $6.5 billion. Non-GAAP income, excluding acquisition-related costs, is still expected to be in a range of $5.10 to $5.20 per diluted share. So no change in our guidance for non-GAAP EPS. And this range represents a year-over-year increase of 5% to 7%. Non-GAAP earnings before interest, taxes, depreciation and amortization, excluding acquisition-related costs, is expected to be in a range from $1.34 billion to $1.38 billion. That's a strong year-over-year increase in EBITDA of 9% to 12%. Turning to color around the segments. For RF Communications, fiscal 2012 revenue is expected to be 2% to 4% higher than fiscal 2011. With Tactical Communications business, about flat with the prior year, reflecting lower DoD revenue, as we indicated at the March Analyst Meeting, and, correspondingly, higher International revenue. Public Safety and Professional Communications revenue is also expected to be higher in 2012. Segment operating margin is expected to be in a range from 32% to 33%. For the Government Communications Systems segment, we expect revenue for fiscal 2012 to be 3% to 5% higher than fiscal 2011. Segment operating margins are expected to be about 13%. And for our new Integrated Network Solutions segment, we expect revenue in a range of 18% to 20% higher than fiscal 2011, representing organic growth in a range of 9% to 11% compared to the prior year. Non-GAAP segment operating margin is expected to be between 6% and 8%. That's about 100 basis points above fiscal 2011 expectations. We expect margins to grow faster in this segment beyond fiscal 2012 when the recent acquisitions have been fully integrated and we receive the full benefits of integration. With that, I will stop. I'll ask the operator to open the line, and we'll be pleased to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Carter Copeland of Barclays Capital.
Carter Copeland - Lehman Brothers: Howard, just a quick question, a couple of quickies. Well, I wondered if you might provide a little bit more color on the delays you're seeing internationally as a result of the Mideast activities and whether or not that's funding related or just contracting and government busy with other things. What's the story there? And did you see all of those delays this quarter? Or is there a bit of a guess for how much might move out of the upcoming quarters when compared to second half?
Howard Lance: Yes, so the combined impact, we think, is about $100 million in tactical orders. There's no one item. It's a combination of things. Orders that are going through the U.S. FMS process are moving more slowly because of the continuing budget resolution. And then you have situations like in Iraq where we're expecting to get an order from the Ministry of Defense, except they haven't elected the new Minister of Defense who by law has to sign the order. So it's a series of relatively small things, but they add up to about $100 million. We expect to get those orders in the first half of next year. And we're not expecting that any of those will have a material impact on fiscal year '12. We will start the year with a little less backlog but still very adequate backlog and order pipeline to reach the guidance we've provided for the year-over-year, essentially maintaining our revenue with DoD lower as we've been talking now for several quarters, offset by higher International business.
Carter Copeland - Lehman Brothers: Great. That's very helpful. And another quick follow-up maybe for Gary. With respect to the step-up that's implied in the fourth quarter for the INS margins after the past few quarters in a kind of 4% to 5% range, what's going on there that's driving that step-up especially given the rate guidance? Is that just not a repeat of any losses in cyber integration? Or how should we be thinking about what's driving that progression?
Gary McArthur: Well, there are several pieces to it, Carter. I think some of it, some of the integration that we've been working on with CapRock has taken place. And so we expect to have benefits there. Obviously, we are now merging that with Schlumberger, which has its own integration aspects to it. We've got the business now of Carefx coming in, which does carry a little higher margin where it's being integrated in with the Healthcare businesses. And so it's several different parameters that are causing it. I can't pick just want. But Howard, you wanted to comment as well?
Howard Lance: Yes, just to say, Carter, that if you look at the 8-K where we restated the segments, I think you'll find that the margin has now the first 3 quarters of the fiscal year and that the segment moved between 5% to 7%. So we're very much in the range guidance for the year, and the fourth quarter is going to be about in the same part of that range. And the continued improvement in broadcast is helping us on the positive as well as the contribution from Harris CapRock. And serving to offset a little bit of that is we expect the losses in Cyber to accelerate a little bit as we turn on the Cyber Integrated Solutions facility and business on June 1 and start to take some of the depreciation on the equipment there.
Operator: Your next question is from the line of Gautam Khanna of Cowen and Company.
Gautam Khanna - Cowen and Company, LLC: Could you give us -- you told us that the year-over-year decline was an MRAP-related sale. Could you quantify what the absolute numbers were like you did last quarter, please?
Howard Lance: In this quarter, I think there were maybe $20 million, $30 million of MRAP. So last year, we add $206 million to that.
Gautam Khanna - Cowen and Company, LLC: Okay. And I know you mentioned the Tactical Communication orders list from a foreign side. You've been running book-to-bill under one for the past 3 quarters. I mean, at what point should we be worried about, if we don't get the order, we got to worry about the fiscal '12 forecast jut given lead times and the like?
Howard Lance: Well, I don't think we have to worry about it at this point. Obviously, we've provided our segment guidance today and believe that we can achieve parity, plus or minus, in revenue of Tactical Comms next year versus this year. We're going to be starting '12 with less backlog than we started '11, but we're going to be starting with a lot more backlog than we started fiscal '10 and pretty comparable backlog, plus or minus, to what we started fiscal '09. So it's really, as you know, a combination of the backlog then coupled with the orders that you get. When you get those orders, then your ability to turn them. We have a pretty efficient process. We'll have the new manufacturing facility online, significantly more capacity in place. And so I think we're going to benefit from that new facility both in terms of being able to turn orders into revenue quickly but also turn orders into revenue at even more competitive cost. So at this point, not concerned. And as we go forward to the next call and get into the fiscal year, we'll talk about any seasonality that we expect in terms of how we expect to deliver on the comparable Tactical Communications revenue. Does that make sense?
Gautam Khanna - Cowen and Company, LLC: Yes, it does. I guess one other one, just the high-level piece. We're in a constrained DoD budget environment. That's obvious. We've had now, too, or we're about to have a change of Defense Secretary. JTRS GMR still appears to be an underperforming program. I mean, what are the milestones that might actually set in motion the restructuring and/or cancellation of that? Do you have any sense for the milestones that will give your products a better opportunity to compete more formally in the DoD budget?
Howard Lance: Yes, I think there are several continuing milestones. Certainly, the testing that is anticipated this summer that we've spoken about previously is going to be an important milestone. We think we're very well positioned with the only field-deployed, proven, NSA-certified technology. So we think that's a huge lead that we have. Secondly, we've recently seen a request for information kind of out of the JTRS JPEO office, essentially asking for what they call nondevelopmental solutions for the GMR specification. Translated in our view, meaning already developed, commercially developed technologies. Again, we think we're the only ones in a position to really meet the full spec and the time frame that they will want so that we can continue to deploy technologies to the brigade combat teams in Afghanistan and around the world. So I certainly like our position more and more as it relates to the Falcon III technology. And then, finally, remember we're going to be porting the SRW waveform very quickly into the Falcon III handheld, and so we're going to have some amount of networking capability using the SRW networking waveform even in the handheld. And you couple that with the announcement we made on the KnightHawk 3G capability to link battlefield tactical networks to 3G cellular networks, and I just believe we continue to widen the lead that we have. That doesn't mean there won't be competition. Certainly, there'll be competition. But when it comes down to who can really deliver today, I think we're in a very strong position.
Gautam Khanna - Cowen and Company, LLC: Okay.
Operator: Your next question is from the line of Rob Pakas [ph] with SunTrust Robinson Humphrey.
Unknown Analyst - : I just -- is there any way to quantify the potential opportunity out of the GMR program at this point or there's just too much speculation?
Howard Lance: We can talk in the future about the parameters. I don't have all of those numbers in my head. There are literally billions of dollars of procurements expected over a period of years as they deploy the JTRS-based technology in vehicular applications. So it's a big, big market. And I think what's yet to be determined is exactly what the uptake of that will be. I commented in my prepared remarks that there's $10 billion of radios deployed today that basically do one thing: They're single-band, single-mission, noncompatible with JTRS, and there's about another $2.5 billion of radios that are compatible with JTRS but aren't wideband networking. So you have this huge market in DoD that will be upgraded and transformed over time, and it's really just a question of when. We believe that the capabilities that we are providing will accelerate the adoption. When you see what the radios can do, it continually impresses the leadership in DoD, which causes them to become proponents of investing budget dollars in these tactical radio deployments because they lead to more effective missions and ultimately save lives. So those are the best, most positive attributes you can have for your technologies.
Unknown Analyst - : Great stuff. Thanks for taking my questions.
Operator: Your next question will come from the line of Larry Harris with CL King & Associates.
Lawrence Harris - CL King & Associates, Inc: I wanted to talk a bit about the cyber security area. A day doesn't go by where you hear about another network that has been attacked. And so I was wondering if, say, in the past 30, 60, 90 days you've see additional interest either from commercial or government customers that could, say, help the profits or performance of this business in fiscal 2012?
Howard Lance: Larry, the answer would be absolutely yes, I think from a wide variety of commercial and government clients. And almost a week doesn't go by that we hear of another cyber -- successful cyber attack or issues related to security, for example taking down one of the Amazon cloud computing sites. So I am more convinced every week that we're exactly in the right place, and we're developing discriminating technology. On the flipside, the adoption of cloud computing is hard to predict and whether -- and what the uptake of orders and turning that into revenue for us, which ultimately would drive profitability is still an estimate. And I think we'll be monitoring very closely our funnel. We'll be monitoring the uptake of new orders. We are off to a good start but have pretty high expectations for '12 and beyond. So we'll pay close attention to that. But overall, I don't believe this is a question of if we will be successful or cloud computing will take off or security and access to what's going on and compliance inside your cloud will be required. I think its more a question of when and what will the actual uptake be with the new market. That's sometimes difficult to peg. But there's no question interest is high, lots of meetings, lots of proposals, and then we'll have to see how those work through the funnel and turn into revenue. We have a pretty high fixed cost in that business. Once we get above that, it's going to leverage profitability very, very well. But we've got to get to that breakeven point first.
Operator: Your next question is the line of Josh Sullivan of Gleacher & Company.
Josh Sullivan: On the CapRock business, you had mentioned that TCS was more capital intensive versus the comps modeled that the legacy CapRock business followed. I'm Just wondering if you've made any strategic decisions as far as you pursuing one or the other at this point.
Howard Lance: No, we haven't. I think there was maybe a small difference. And neither of them are hugely capital intensive, a little more capital intensive than our traditional businesses at Harris but still relatively low capital. And it has a lot to do with whether the customer rolls into the monthly costs for providing services, the very small aperture antenna terminal or not. And the more they include that, then the more the capital is a little bit higher. Other customers sometimes prefer to pay for that, capitalize it themselves, and then just buy the various services from us. So there is a variety. But I wouldn't expect it to be materially different across those 2 businesses as we put them together. We are still engaged, and you may also be thinking about discussions we've had about kind of the make-or-buy question. CapRock traditionally bought VSATs and Schlumberger GCS, designed and manufactured their own line of VSATs. And so we certainly have that make-or-buy analysis going on to determine which makes the best sense from a cost standpoint as well as from a differentiation and solution standpoint.
Lawrence Harris - CL King & Associates, Inc: And so the follow-up. How should we look at the VCE order as it relates to the volumes? I think you had mentioned that you're going to operate this segment more on cycle times or use. I'm just trying to get an idea of how we should look at that order.
Howard Lance: Well, I'm not sure I have a lot of color to give you around it other than it's a $10 million contract. It's providing services to VCE and perhaps to some of the affiliated companies. And it is, we feel, an important first step. It's our second client on board now, and we look forward to being able to hopefully talk about additional ones once we finally open the door here on June 1 and move forward again. To the previous question, there's lots, lots of discussion, lots of interest. And some of this, I think, though is going to take us to open the doors and then be able to show clients through our portal, what's different about our services than that kind of consumer-grade services that you're going to get from an Amazon or a Google, our price point's going to be higher because what we're going to be delivering in security and compliance and control is going to be a lot higher. And so I think while we talk about a lot of that now, to some extent it's brochureware until you're actually operating the center.
Operator: Your next question comes from the line of Ted Wheeler of Buckingham Research.
Edward W. Wheeler: I wondered if you could circle back and help me on the timing on this request for nondevelopmental solutions for GMR. Now with that -- how long will that take to work its way through? And when would the next news event from that be expected?
Howard Lance: I'm not sure we have a timeline, so this will just be kind of my opinion, Ted. But my opinion is that they already know how the tests are going to run this summer, and they're trying to get ahead of that cycle by starting with the RFI, request for information, and then they'll follow it with an RFP, which will then go to selection. I don't know whether that will be a couple of quarters or longer, but I wouldn't expect it to be much longer than that. And depending on the needs for the next capability set deployments, it might be faster rather than slower. But there is a cycle, as you know. It's RFI or RFP and then award. And I think the fact that they've start the RFI before the tests is a little bit of a leading indicator of how they expect the tests to turn out.
Edward Wheeler - Buckingham Research Group, Inc.: And one other question on timing. What about the Alberta program? How will that sort of play out, I guess, on a run rate or duration or both, is the second.
Howard Lance: I think the deployment in total is over maybe 3 years. We'll have a material amount of revenue in fiscal '12 from that program. I don't think there's much in fiscal '11, just a little bit. And to remind you with these programs, I think it's pretty typical, what we will be doing during the initial deployment phases is putting in the systems and the infrastructure along with our partners. That's typically a little lower margin business. And then toward the end of it are the opportunities to sell the terminals, both portable as well as mobile, and much higher margin opportunities. So we'll expect to see pickup in revenue, certainly profitability, but not at the level we'll ultimately get to when we're able to deploy the terminals into the completed system. So at any given time, we've got a large number of these projects at different phases. But given that we took over the business, it wasn't growing all that much. We've had good success in growing it. We still have a lot of programs that are kind of toward the front end of that cycle. I think we talked about that previously as it relates to our margins. So some of the margin uptake in this business that's going to feed into the segment is going to come from the mix of what we're selling. Not necessarily that there's a lot of costs coming out but more that as the mix gets higher for selling terminals or radios, the margins are going to be better than when you're selling a higher percentage of systems.
Edward W. Wheeler: And I guess just lastly, how's the pipeline, I guess, of conversations on programs? Not on maybe of that magnitude but these tend to be big programs for public safety. Are there still ample folks being approached just working towards something?
Howard Lance: Yes, there are. The pipeline is about $3 billion. It's been pretty steady even as we've been winning programs. So that suggests that others are coming in. We see this contrast day to day. They're not hiring a lot of additional police officers or firefighters. So the day to day add-on sales for an additional base station, for more capacity or more radios for more people we're not seeing. That's where budgets are absolutely being constrained because of state and local revenue income. On the other hand, the big projects continue to move along. Many of them are already funded, either funded through federal grants or they're funded through revenue-producing kinds of services or fee-based. In Florida, for example, the statewide network, its income from licenses of various kinds. So there's still a number that are out there. There are still a lot of very old technology, analog technology that needs to be upgraded. There's still a requirement for going to this narrow banding so they can give up frequency for the other uses. And then, finally, you've got the opportunity being offered by the introduction of this LTE fourth generation of broadband technology. And we think we're going to be in a very strong position to integrate, converge networks of LTE 4G for wideband along with our traditional narrowband LMR radio technology. So we're feeling very positive about the market. We wish that the state and local funds were a little clear as it related to the higher margin add-on kind of business. But overall, I think we're very pleased with the progress we've made since we bought the business. Have some new leadership in place. Very pleased with how that is coming along. Very pleased with the strides that we've made in the sales organization, sales leadership, channel partners, having signed up a couple of Motorola dealers. To me, lots of positive signs. It never comes as quickly as we want, but the progress is definitely a there.
Edward Wheeler - Buckingham Research Group, Inc.: Sounds great.
Operator: Your next question comes from the line of Josephine Schmiller [ph] of Benchmark Company.
Unknown Analyst - : Congratulations on your Cyber order. Howard, can you talk about what you're expecting from Cyber in '12, and what a breakeven point might look like?
Howard Lance: Well, I don't want to be that quite specific from a competitive standpoint. But certainly, we have made investments now of north of $175 million as it relates to all the infrastructure, including customer-facing equipment, maybe even approaching $200 million. So it's fair to say that you've got to get revenue certainly, let's say, well above $50 million to be able to, even at very high gross margins, cover those fixed costs and fixed expenses. Our expectations are higher than that. And as I said earlier on the call, we'll have to see how to takeup is. I think this is a business where we don't want to be too short term in our thinking or we won't invest and we'll miss what is what we expect -- and we're not the experts on this, what everyone in the market expects to be a major transformation in how IT is delivered to users over the next decade. We've got a strong leadership position, some very discriminating technology. And I really don't want us to be penny-wise and pound foolish. I think that will be a mistake for the opportunity to build long-term shareholder value. Having said that, we're going to try and match expenses to revenue as best we can. And we've tried to bake into our guidance for next year expectations as it relates to our Cyber business that we can meet.
Unknown Analyst - : Okay, I have a follow-up question on JTRS. The Army recently talked about trying to stop funding, R&D funding for the JTRS GMR radio. What do you think happened to the $1 billion in the '11 defense budget allocated to JTRS? It seems a big chunk of that is related to GMR R&D and will that flow-through, the upcoming solicitation? Can you comment on that Howard?
Howard Lance: Well, we can't say for sure, but we certainly hope that a portion of that will go not for R&D of a radio that is not going to be competitively priced based on its features but that it will go toward procurement so that we can put more radios in the hands of our war fighters. So certainly, that's what we are promoting, and I think a lot of people are starting to turn that direction. And it's very logical given the performance of the Falcon III radios in the field. So we're certainly very, very optimistic. But until the '12 budgets are approved, everything is still up for negotiation. We are certainly engaged in that to the extent possible and trying to influence a positive outcome for Harris.
Unknown Analyst - : Sounds good.
Operator: Your next question comes from Joe Nadol of JPMorgan.
Joseph Nadol - JP Morgan Chase & Co: It'll be very quick, Pam. I have a couple of quick ones, and I'll ask them at once. One is, just mechanically with the sales guidance coming down a little bit, what's the offset to keep EPS the same after both this year and next year? And the second question is, a very significant increase in that pipeline, the International pipeline from $2 billion to $2.6 billion, so 30%, $100 million of that is the slip presumably. And so it's a $0.5 billion increase. And Howard, I was wondering if you could talk about and maybe give a little more color as to what's in there? Is that the systems emphasis you've been talking about? Is that just geographical? Just anything more you can give.
Howard Lance: Well, to your second question first, I would love to be able to be more specific country by country. But increasingly, and you're seeing this in our reports, we're not able to divulge the individual countries. Security and deployment of these technologies is becoming more and more of an issue. So I really can't go country by country. I can tell you that it's a well diversified mix of opportunities. It's our traditional tactical radios, it's our new products like the Falcon fighter, the secure personal radio, high-capacity line of sight, high-capacity data radios and a mix of services and systems that we wrap around that. But it's a very good cross-section, and I think real opportunities. You can imagine I'm a skeptic when I see that kind of an increase. And we've scrubbed the pipeline to make sure it's real, and we're very comfortable that it is. To your first point in terms of the FY '11, Gary talked about a little better on the tax rate, and we also raised about 100 basis points, the expectation for the new Integrated Network Solutions return on sales for '11. So that's offsetting the margins associated with the $100 million in revenue in government programs and IT services. We haven't provided that level of detail in '12. We felt we had adequate comfort in the guidance we've provided to maintain the EPS guidance even in the face again of about $100 million lower revenue. So we're still very comfortable in our growth rates and margins for next year. I think '12 is going to turn out to be a good year for us as we go forward.
Pamela Padgett: All right, operator. And everyone on the call, thank you so much. Appreciate you joining us.